Operator: Good afternoon. Welcome to the Liquidmetal Technologies, Inc. fiscal year 2024 conference call. My name is Lisa, and I will be your conference operator this afternoon. Joining us on today's call is Mr. Tony Chung, Liquidmetal Technologies, Inc.'s Chief Executive Officer. Before we proceed, I would like to provide the company's safe harbor statement with important questions regarding forward-looking statements made during this call as follows. All statements made by management during this call that are not based on historical facts are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and the provisions of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended. Such forward-looking statements include, but are not limited to, those made by Mr. Chung regarding the company's cash, revenue growth, and technology development. While management has based any forward-looking statements made during this call on its current expectations, the information on which such expectations are based may change. These forward-looking statements rely on a number of assumptions concerning future events and other factors and are subject to a number of risks, uncertainties, and other factors, many of which are outside the company's control that could cause actual results to materially differ from such statements. Such risks, uncertainties, and other factors include but are not necessarily limited to those set forth under risk factors in the company's annual report on Form 10-K for the year ended December 31, 2024. Accordingly, you should not place any reliance on forward-looking statements as a prediction of actual results. The company disclaims any intention and undertakes no obligation to update or revise any forward-looking statement. You are also urged to carefully review and consider the various disclosures in the company's annual report on Form 10-K for the year ended December 31, 2024, as well as other public filings with the SEC since such date. I would now like to remind everyone this call will be available for replay starting later this evening via a link available in the Investor Relations section of the company's website at www.liquidmetal.com. I would now like to turn the call over to the company's Chief Executive Officer, Mr. Tony Chung.
Tony Chung: Thank you, Lisa, and thank you to our investors for participating in today's call. It's already been a year since I last provided guidance on our company's trajectory, and I'm excited to share with you the good things that are happening with the company. As a reminder, please remember to supplement the information provided during today's call with the financial statements and disclosures in our 2024 10-K filed earlier today to get the latest full overview of our company operations. So let's talk about our current pipeline of sales and new opportunities. Last year, we announced the launch of the Movano EV Health Rings. These rings are designed for monitoring women's health by tracking vital metrics, including heart rate, menstrual cycles, and sleep quality, to mention a few of their capabilities. We have worked closely with Movano to improve the EV ring's durability and performance, and I'm happy to announce that Movano has ordered additional rings for 2025. Last year, I communicated that Movano was seeking FDA approval. Sure enough, they recently announced the U.S. Food and Drug Administration 510(k) clearance for the pulse oximeter for its EVMed ring. This clearance enables Movano to pursue multibillion-dollar business opportunities for health monitoring solutions needed for applications such as clinical trials, post-clinical trial management, and remote patient monitoring for both health care providers and payors. With this achievement, we anticipate that the order volumes will increase significantly in the years to come. Now let's talk about the progress we are making in the medical tools industry. Last year, I communicated that we were pursuing a startup medical tool company that makes medical devices for alleviating the effects of tendinitis. We completed the prototype phase in 2024, and I am happy to announce that this part is currently in general production and is reflected in our 2024 revenues. This company is also seeking FDA approval, and we are delighted to have a satisfied customer who has chosen to adopt our technology. Other opportunities in the medical tools industry that we are currently prototyping include an application for a medical annular stapler device, an application for an inhaler device, and an application for cochlear implants for the hearing industry. Also, we announced in the middle of 2024 that we secured our first MIM order for a minimally invasive surgical application, utilizing jaw components that grab and manipulate suturing needles and tissue during surgery. These opportunities and many others signal the steadfast adoption of our technology in the medical device field, and we hope to take full advantage of the momentum. Moving on to other industries, many of you have communicated to me that long ago, you came across credit cards made of liquidmetal sponsored by Hyundai, the South Korean conglomerate car company. We actually manufactured these cards from our South Korean manufacturing plant when we had our presence there a long time ago. Last year, I communicated that we were in the process of working on an application in the fintech sector, and I am happy to announce that we are currently prototyping a premium credit card product for a first-tier U.S.-based financial institution utilizing liquidmetal's unique alloy to create beautiful thin cards to be used for their premium credit card line. We hope to have this product to market very soon. While we're on the subject of sales, there's one topic that I would like to talk about that has a negative impact on our operations. With the advent of the Trump administration and their economic policies, Liquidmetal Technologies, Inc. has been heavily impacted by tariff increases on Chinese imports. We have communicated this fact to our customers, and they are bracing for pricing on our goods to be increased by about 10% to 35%, depending on our product and industry specifications. Our customers have accommodated the situation, and the price increases are necessary and unavoidable. We hope that such governmental policies do not have a long-term impact on our operations, and we will continue to seek guidance from our legal and tax advisers to mitigate risks associated with shifts in geopolitical campaigns. Let's move on to another topic of discussion, second-source manufacturing. Last year, I indicated that we have been working on identifying a second source opportunity to help assure customers that there are multiple avenues available for prototyping and manufacturing liquidmetal parts. We are currently in active discussions to secure a second source opportunity in Asia to manufacture parts for mobile devices. I hope to have more information on this opportunity soon. Now let's go over the financial results for 2024. We ended 2024 with revenues of about $900,000, a respectable and steady increase from previous years but hardly reflective of our company's potential. On the balance sheet, we ended the year with about $22.5 million of readily available liquid cash and investments. Our corporate warehouse and office facility that we purchased in 2017 is free and clear of debt and is readily available for sale, if necessary, to fund our growth. We have no debt, are getting closer to breakeven cash flow, with a negative $800,000 EBITDA for year-end 2024, which is about half that of year-end 2023. We are well-positioned to fund our growth for the foreseeable future and have no going concern issues. Like this earnings call, the current goals for the company are very simple. Revenue growth, positive cash flow, and profitability. We are making steady progress towards all of them. Thank you for your time, and I look forward to announcing more wins soon. Operator?
Operator: Thank you, Mr. Chung. At this time, this concludes today's call. You may now disconnect.